Executives: John G. Call - Chief Financial Officer, Principal Accounting Officer and Senior Vice President Michael Balmuth - Vice Chairman and Chief Executive Officer Michael B. O'Sullivan - President and Chief Operating Officer
Analysts: Stephen Tabb - Tocqueville Asset Management LP Dana Lauren Telsey - Telsey Advisory Group LLC Stacy W. Pak - Barclays Capital, Research Division Paul Lejuez - Nomura Securities Co. Ltd., Research Division Roxanne Meyer - UBS Investment Bank, Research Division Jeff Black - Citigroup Inc, Research Division Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division Brian X Tunick - JP Morgan Chase & Co, Research Division Omar Saad - ISI Group Inc., Research Division Jeffrey P. Klinefelter - Piper Jaffray Companies, Research Division Rick B. Patel - BofA Merrill Lynch, Research Division Patrick McKeever - MKM Partners LLC, Research Division Marni Shapiro - The Retail Tracker David M. Mann - Johnson Rice & Company, L.L.C., Research Division Kimberly C. Greenberger - Morgan Stanley, Research Division Evren Dogan Kopelman - Wells Fargo Securities, LLC, Research Division
Operator: Good morning, and welcome to the Ross Stores Third Quarter 2011 Earnings Release Conference Call. The call will begin with prepared remarks by management, followed by a question-and-answer session. [Operator Instructions] Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2010 Form 10-K and 2011 Form 10-Qs and 8-Ks on file with the SEC. Now I'd like to turn the call over to Michael Balmuth, Vice Chairman and Chief Executive Officer.
Michael Balmuth: Good morning. Thank you for joining us today. Also on our call are Norman Ferber, Chairman of the Board; Michael O'Sullivan, President and Chief Operating Officer; Gary Cribb, Executive Vice President, Stores and Loss Prevention; John Call, Senior Vice President and Chief Financial Officer; and Bobbi Chaville, Senior Director of Investor Relations.  We'll begin with a brief review of our third quarter performance, followed by our outlook for the remainder of the year. Afterwards, we'll be happy to respond to any questions you may have.  We are pleased with our above-plan sales and earnings in the third quarter and first 9 months of 2011, especially considering this growth was achieved on top of exceptional increases in the prior 2 years. Our strong revenue gains continued to be driven mainly by our ability to deliver compelling bargains on a wide assortment of exciting name-brand fashions for the family and the home to today's increasingly value-focused consumers. In addition, operating our business on lower in-store inventories is driving faster turns and lower markdowns which continues to benefit profit margins.  Third quarter earnings per share grew to $1.26, up from $1.02 from the same period last year. These results reflect the 24% increase on top of exceptional 21% and 91% gains in the third quarters of 2010 and 2009, respectively. Net earnings for the current year quarter grew 19% to $144 million, up from $121.4 million last year. Third quarter 2011 sales increased 9% to $2,046,000,000 with comparable store sales up 5% over the prior year. For the 9 months ended October 29, 2011, earnings per share were $4.03, up from $3.26 for the same period in 2010. These results represent a 24% increase on top of outstanding earnings per share growth of 36% and 52% for the first 9 months of 2010 and 2009, respectively. Net earnings for the first 9 months rose 18% to $465.2 million, up from $393 million last year.  Sales for the first 9 months of 2011 increased 9% to $6,210,000,000, with comparable store sales up 5%, which was on top of robust 6% growth for the first 9 months of 2010.  Dresses and Shoes were the top performing merchandise categories for the quarter, while Florida remained the strongest region. Operating margin in the third quarter grew about 45 basis points to 10.9%. This improvement was driven by a higher merchandise gross margin, which benefited in part from better-than-expected shrink from our annual physical inventory. This reflects the progress we have made over the past several years in successfully implementing our shortage control initiatives. Leverage on buying, occupancy and selling, general and administrative costs also contributed to the market improvement which was partially offset by an expected rise in packaway-related distribution expenses as a percent of sales. John will provide some additional details in a few minutes.  As we ended the third quarter, total consolidated inventories were around 18% compared to the prior year. This increase was mainly driven by higher packaway, that was about 43% of total inventories, up from 37% at this time last year. Inventory in an average store was down about 7% at quarter end versus the prior year and we continue to target a mid-single-digit percentage decline for the remainder of the year compared to 2010.  Now let's turn to dd's DISCOUNTS. We are pleased with dd's third quarter and year-to-date performance as the changed value-focused merchandise offerings are resonating well with its target customers. Based on our first 9 months' results and outlook for the balance of the year, we continue to expect this young business to generate improved growth in free cash earnings for 2011 compared to last year. As planned, we opened a net 35 locations during the third quarter comprised of 25 Ross and 10 dd's DISCOUNTS. This growth includes our entry into the Midwest with 12 new Ross Dress for Less stores opening in the greater Chicago area in early October. We are very excited about the long-term growth opportunity that this market offers and are confident that Ross Dress for Less will become an attractive destination for customers there. Looking ahead, we see continued opportunities to grow in the Midwest as we expand into additional areas in this region. Now John will provide further color on our third quarter results and details on our guidance for the fourth quarter.
John G. Call: Thank you, Michael. Our 5% comparable store sales gains in the third quarter was driven by a low single-digit growth in both the number of transactions and the size of the average basket. Again, operating margin improved by about 45 basis points in the quarter to 10.9%. Our 40 basis point decline in SG&A as a percent of sales was mainly due to leverage on general and administrative expenses. As Michael noted, higher merchandise margin, including better-than-expected shortage and leverage on buying and occupancy expenses, offset an expected increase in distribution costs as a percent of sales.  Merchandise margin grew by about 45 basis points, driven by fewer markdowns resulting from above-plan sales and lower average in-store inventories. The merchandise margin improvement includes a 10 basis point benefit from lower shrink expense compared to last year. As Michael mentioned, our shortage results were better than expected, adding about $0.08 in earnings per share to our third quarter 2011 results. The quarter also benefited from leverage on buying and occupancy expenses of 20 basis points and 10 basis points, respectively. As expected, distribution expenses as a percent of sales rose by about 60 basis points mainly due to timing differences in packaway-related processing costs. While distribution costs can fluctuate from quarter-to-quarter based on timing issues, for the full year, we still expect DC expenses as a percent of sales to be relatively flat compared to 2010. Lastly, freight expense increased by about 10 basis points due to higher fuel costs. We also benefited from a lower tax rate in the quarter due to favorable tax audit settlements.  Turning to our stock buyback program. During the third quarter, we repurchased 1.4 million shares for a total purchase price of $113 million. As a result, year-to-date, we have repurchased 4.5 million shares for a total purchase price of $343 million. We remain on track to complete approximately $450 million or about half of our current authorization by the end of fiscal 2011.  As Michael mentioned, we opened 35 net new stores in the third quarter, ending the period with 1,038 Ross Dress for Less stores in 29 states and 88 dd's DISCOUNTS locations in 7 states.  Let's turn now to our guidance for the 2011 fourth quarter, which, as noted in today's press release, remains unchanged from our prior outlook. For the fourth quarter ending January 28, 2012, we are projecting same-store sales to grow 2% to 3%, a solid increase on top of 4% and 10% gain in 2010 and 2009 fourth quarters, respectively. We are planning comparable store sales gains of 2% to 3%, 3% to 4%, and 1% to 2%, for November, December and January, respectively. Last year's same-store sales rose 6%, 4% and 3% in November, December and January, respectively. Total sales are expected to grow about 7% to 8%. Fourth quarter 2011 earnings per share are forecast to be in the range of $1.53 to $1.59 compared to $1.37 in the prior year period. We are projecting operating margin of 12.3% to 12.5% for this 2011 fourth quarter, flat to up 20 basis points from the prior year period. Net interest expense is planned to be approximately $2.5 million and our tax rate is expected to be about 38%. We also estimate weighted average diluted shares outstanding of about 114 million.  Now I will turn the call back to Michael.
Michael Balmuth: Thank you, John. Again, we are very pleased with our above-plan performance for the third quarter and first 9 months of 2011. As we've noted previously, we remain favorably positioned as a value retailer in these uncertain macroeconomic times. As we enter the important fourth quarter, we are focused on filling our stores with a wide assortment of fresh and exciting bargains on gifts and fashions for the family and the home. However, we recognize that consumer spending remains under pressure which we believe creates the possibility of an even more competitive than usual holiday season. As a result, while we hope to do better, we are maintaining our prior fourth quarter forecast for both sales and earnings.  Turning to other news, we are pleased to report that our Board of Directors has approved a 2-for-1 stock split. The Board also declared a regular quarterly cash dividend of $0.22 per share, or $0.11 per share post-split. I should note that our guidance given today is before the effect of the stock split.  We have delivered outstanding financial performance over the past few years and has contributed to significant stock price appreciation over this period. Our decision to split the stock reflects our ongoing confidence in our future growth prospects and our continued commitment to enhancing stockholder value. Our recent entry into the Chicago market is just the beginning of many expansion opportunities we see throughout the Midwest. And with stores in only 29 states today, we continue to believe we have the potential over the long term to double the size of our company as we expand throughout the entire U.S.  At this point, we'd like to open up the call and respond to any questions you might have.
Operator: [Operator Instructions] And your first question comes from the line of Paul Lejuez from Nomura Securities.
Paul Lejuez - Nomura Securities Co. Ltd., Research Division: Just wondering what you saw with your Chicago push in terms of traffic first ticket trends relative to both your expectations and the general chain averages or perhaps from a category perspective, what's working there versus what you expected? And also I'm wondering who the co-tenants are, if is there any consistencies across the 12 stores that you've got open in that area.
Michael B. O'Sullivan: Paul, it's Michael O'Sullivan. I'll answer that. We opened 12 stores in Chicago, but it was really just at the beginning of October so those stores have only been in business for 6 weeks. So it's really too early to provide any insight into the business. In terms of co-tenants, it's the usual cast of characters, the same companies that we compete with. It'll be at the market ring [ph]..
Paul Lejuez - Nomura Securities Co. Ltd., Research Division: Okay. And then just a follow-up, Michael, last quarter, you guys were pretty cautious about potential cost pressures. Just wondering what you've seen on that front or if you've seen any pressures? Have you been pleasantly surprised? And what are you seeing in the market now?
Michael Balmuth: Well, we've been a little surprised. We are pleased with the performance. We've had slightly higher prices in a few areas in our store. And where we executed effectively, we didn't see a problem. What we're seeing in the market is mixed by resource right now and it's mixed by classification so it's hard to give a general theme on where costs are going. Although the herky-jerkiness that was going on 6 months ago or a year ago relative to this seems to be behind us. But prices do not seem to be growing back.
Operator: Your next question comes from the line of Rick Patel with Bank of America.
Rick B. Patel - BofA Merrill Lynch, Research Division: Can you go provide some insights on AUR and transactions for Ross and dd's separately? And for dd's specifically, have you had to change your value proposition there now that we are entering a more inflationary type of environment?
John G. Call: So on the AUR for Ross and dd's, we actually come slip that out separately but as we mentioned in the prepared remarks, the transactions were up low single and the basket's up low singles. The basket's consisted of AURs that are a little bit higher and so the number of units per basket was down slightly.
Michael Balmuth: And the value proposition in dd's is pretty much the same. There are couple of pockets where we had to move a bit, but again, we're vying for small quantity of stores. We've been able to hold sizes more effectively.
Rick B. Patel - BofA Merrill Lynch, Research Division: And as we think about your inventory turns getting better, is that consistent across both concepts?
Michael Balmuth: Yes.
Operator: Your next question comes from the line of Kimberly Greenberger from Morgan Stanley.
Kimberly C. Greenberger - Morgan Stanley, Research Division: My question's on dd's as well. Michael, if you could just remind us what you said upon profitability so far this year? And as you look out over the next year or 2, what is the projectile for the profitability of that business? And did you, at some point, expect it to approach the Ross Stores' operating profit?
Michael B. O'Sullivan: Kimberly, can you -- you were very faint. I'm not sure whether there was a problem with the line. Can you just repeat that question?
Kimberly C. Greenberger - Morgan Stanley, Research Division: Oh, I'm sorry about that. The question's on dd's. If you could just remind us what you said about the dd's profit performance so far this year? And as you're looking out over time, where do you think the ultimate operating margin for that business can go and how quickly can it get there? In other words, what is the annual ramp look like in the operating margin structure there?
Michael B. O'Sullivan: Okay. In terms of performance this year, I think in Michael's comments he mentioned from an internal target point of view, dd's has exceeded its targets on sales, and then actually, handily exceeded its targets on contribution, which I'm very happy with how it's done from a profit point of view. In terms of the dd's model and how it will ramp over time, we're pretty confident on a four-wall basis. The dd's stores are very profitable and attractive. And how quickly the overall business ramps up is really just a function of us opening in the stores. So over the next few years, we think it will continue to, sort of, add contribution to our overall business.
Kimberly C. Greenberger - Morgan Stanley, Research Division: Is there way to understand what the overhead impact differential is on dd's versus Ross? In other words, is it a 200 to 300 basis points at this scale of dd's, or is it even bigger? If the four -- in other words, if the four-wall contribution were the same between dd's and Ross, what would the margin structure differential be, given the lower scale at dd's?
Michael B. O'Sullivan: I think that's pretty hard to quantify at this point just given -- dd's has just less than 100 stores at this point compared with Ross' of over 1,000. So it's difficult to make a comparison in terms of overhead.
Operator: Your next question comes from the line of David Mann with Johnson Rice.
David M. Mann - Johnson Rice & Company, L.L.C., Research Division: My question relates to packaway and sort of the comments you made on distribution expense. In terms of the fourth quarter, are you implying that the distribution expense won't be a drag the way it was in the third quarter?
John G. Call: Not to the extent it was in the third quarter, David. We look at our packaway balances and as we really are projecting the fourth quarter, they look at somewhat a similar level as to where they were last year. If you recall last year, the fourth quarter where we really started ramping up distribution expenses and the 60 basis point drag in the third quarter was up against the 50 basis point accretion we had in the prior third quarter. So the composition will be much different in the fourth quarter.
David M. Mann - Johnson Rice & Company, L.L.C., Research Division: Okay, great, that's very helpful. So then in terms of what we should be looking about in terms -- for that operating margin gain that you might have in the fourth quarter, is that mostly coming from the gross margin line then?
John G. Call: Well, it's coming from a couple of places. There are some tailwinds going in the fourth quarter. Our shrink accrual will be 10 to 15 basis points lower. We talked about packaway won't be a drag as it was in the third quarter. We do anticipate having lower inventories, so faster turns, lower markdowns. However, there are some headwinds. We think the pricing environment might be slightly tougher. Last year, we had some pickup in our bonus accrual and we won't be up against that -- or we will be up against that in the fourth quarter. We'll likely accrue more bonus than we did last year. So all in all, when you take the puts and the takes, we're projecting 5 to 20 basis points up in EBIT in the fourth quarter.
David M. Mann - Johnson Rice & Company, L.L.C., Research Division: And, Michael, just 1 last follow-up. I think on the last call, you answered a question that you would still expect inventories per store to go down next year. Is that still a feeling that you have?
Michael Balmuth: Yes.
Operator: Your next question comes from the line of Stacy Pak with Barclays Capital.
Stacy W. Pak - Barclays Capital, Research Division: I guess a couple of things. One is just a follow-up on Kimberly's that I guess I didn't hear or get, and that is, is dd's supposed to add to profits this year or not? And then the 2 questions I have is, first, what are you doing differently for holiday this year relative to last in terms of gifting or advertising or opportunities or however you want to think about it or talk about it? And then the second is, when are you thinking you might really ramp other states and/or dd's more aggressively?
Michael B. O'Sullivan: Stacy, on the first part, the answer is yes. dd's will be somewhat creating it's earnings this year.
Stacy W. Pak - Barclays Capital, Research Division: Is there an EPS that you'll throw out or it's just somewhat accretive?
Michael B. O'Sullivan: No, we haven't broken it out. It actually was slightly accretive last year and this year will be more also. So we haven't broken out a specific -- any number.
Michael Balmuth: Relative to what we're doing different in the fourth quarter, our assortment will be geared more -- a little more gifting, okay? And we had a lot of success in gifting last year. We're going -- taking it one step further this year. And relative to our marketing, it will be fairly consistent to the year.
Michael B. O'Sullivan: Stacy, can you just ask your third question again, about the rollout? Just so we know [indiscernible]
Stacy W. Pak - Barclays Capital, Research Division: Just -- yes, I'm just curious. I mean, you opened 12 new stores, right? In the Midwest, which -- and I realized it's been a long time since you've expanded to other states. But it's not a really big number in terms of the overall chain and so I'm wondering when you might get more aggressive about entering into new states and also when you make might get more aggressive ramping dd's.
Michael B. O'Sullivan: Well, I would put that in context of the overall number of new stores that we've opened. So this year, we've opened over 60 new stores.
Stacy W. Pak - Barclays Capital, Research Division: Yes, no, the overall square footage is great. I'm just asking when you might change your strategy.
Michael B. O'Sullivan: I think it will depend upon real estate availability and if we find locations that we like, then we'll open more stores. But I wouldn't expect a dramatic shift. I mean, over the course of the next few years, we are going to open more stores in the Midwest, including additional states in the Midwest. But we're going to do that in a fairly, I think, a fairly measured way.
Stacy W. Pak - Barclays Capital, Research Division: So should we assume that's sort of like 15-ish number of stores in the new state kind of thing?
Michael B. O'Sullivan: Yes, I'd put it more as -- I think we've said in the past that our overall unit growth, in terms of stores, will probably be 6% to 7% per year. And I think the Midwest will be some portion of that. It's hard to put a precise number on it without looking at real estate locations, but that's where we're going to drive it, yes.
Stacy W. Pak - Barclays Capital, Research Division: And the dd's?
Michael B. O'Sullivan: The same thing with dd's. I mean, this year with dd's, we opened over 20 stores which we think is, on the basis of just 80, is pretty significant. And we are -- we're not going to ramping up from that. We'll add additional dd's stores, but I don't think you should expect the percentage growth to significantly increase.
Operator: Your next question comes from the line of Jeff Klinefelter with Piper Jaffray.
Jeffrey P. Klinefelter - Piper Jaffray Companies, Research Division: One question is, on your Florida market, clearly, you've been performing very, very well this year. As we head into 2012 and think about the productivity of that market, where would that be tracking relative to the average of your chain for the Ross Stores concept? And then also just thinking about other markets, do you have opportunities in other geographic markets that are below the average productivity and that are real opportunities for you next year?
Michael B. O'Sullivan: So on Florida, Jeff, Florida is the state that has been performing very well for the last 2 years. It's slightly ahead of our average incentive -- sort of our average performance by region. But I have to tell you, all of our regions has done very well. So we've been very happy across the board. We call out Florida because it's on top of the pack in terms of comp performance, but all regions have had a pretty good performance this year and actually the last few years.
Jeffrey P. Klinefelter - Piper Jaffray Companies, Research Division: Okay. So there is no like opportunity region that you can really bring the productivity levels higher next year?
Michael B. O'Sullivan: There's no region that we're particularly concerned about, no. We'd like to do well in every region next year but there's no single reason I would call out and say, we think it's a remedial situation we can improve on.
Jeffrey P. Klinefelter - Piper Jaffray Companies, Research Division: Okay. And then just 1 other follow-up on Chicago launch, recognizing it's very, very recent, not a lot of data yet, but is there anything else that you would call out from that launch that tells you something about the merchandising kind of opportunities or potential challenges you have in that region of the country?
Michael B. O'Sullivan: Yes, nothing at this point. I think everything we've seen in the run-up to the opening has caused us to feel very confident about our ability to compete well in that market. But it's too early to give you a readout on the first wave of stores, but we feel -- we're excited to be in the Midwest.
Jeffrey P. Klinefelter - Piper Jaffray Companies, Research Division: And just lastly on Chicago, anything from the media strategy in terms of your opening? I know that you focused a lot of media and leverage a lot of different media channels. Anything that tells you about some changes you could implement nationally?
Michael B. O'Sullivan: You know, again, 6 weeks in and we haven't gone through the fourth quarter, it's probably a little premature to dissect, the marketing strategy that we've used there. But obviously, that is something we'll look at and if there's any lessons we can take from it for the rest of the country, we'll use that.
Operator: Your next question comes from the line of Brian Tunick with JPMorgan.
Brian X Tunick - JP Morgan Chase & Co, Research Division: I guess 2 questions. Just as we try to think about the merchandise margins as we move into next year or the year after from here, are there any specific categories maybe that you can give us that you still see opportunity to take down inventory per store or turn faster? Where is the room still there? And then, do you think your business model, with such a big mix of packaway, can work on the e-commerce side? Is this, in addition to dd's, something that the Board has talked about, bringing e-commerce eventually to the business?
Michael Balmuth: I'll take the first one. Basically, reductions in inventory are not constrained to certain categories. It's across the board. And so if we see opportunity across the board, we just keep working on figuring out how to turn faster through our system of -- logistically and merchandise wise. So I would say it's not any single category in answer to your question.
Michael B. O'Sullivan: Yes, and then Brian, on your second question about the Internet. I'm going to broaden the question a little bit. In terms of the Internet, there's 2 aspects for us. One is digital marketing and we've been experimenting, particularly with our expansion into new markets in various forms of new media to raise awareness, but that's on the marketing side. And then on e-commerce, actually transacting and selling merchandise online, clearly, that's an area that's evolving. We're watching it, we are watching the stock ups to those -- that move into that market. It's not clear how it's going to evolve in terms of price points and brands, but it's something we'll continue to study. We don't have any immediate plans to move in a fast pace right now, but we'll watch it closely.
Operator: Your next question comes from the line of Jeff Black with Citigroup.
Jeff Black - Citigroup Inc, Research Division: On the micro-merchandising, can you just draw out where we are on this curve? I believe you're using it across most of the categories, if not all. What benefits have we seen this year? And what kind of torque do we think these efforts have for either margin or lowering inventory next year and perhaps the year out?
Michael B. O'Sullivan: So Jeff, we -- as you know, we fully rolled out micro-merchandising in late 2009 so we now have sort of 1.5 years under our belt and I think we've been very pleased with how it's gone. Certainly, our ability to turn faster and faster in stores over the last couple of years, we think the micro-merchandising has, at least, helped with that, made a contribution to it. And the other aspect of micro-merchandising we talked about in the past is that it, sort of, learn from history. So the more history we gain from the system, the better micro-merchandising is in terms of predicting sales and predicting inventory levels. So we think there's still some ways to go in terms of the benefit we'll get from micro-merchandising.
Jeff Black - Citigroup Inc, Research Division: And just on the inventory next year, I mean, how much lower -- how much are we talking about lowering per store? Is that another kind of mid-single-digit rate you think is potentially possible here?
Michael Balmuth: We'll still finalizing our inventories, but approximately it will be less.
Operator: Your next question comes from the line of Marni Shapiro with The Retail Tracker.
Marni Shapiro - The Retail Tracker: I have 2 very quick questions. We've heard a lot about the women's business being a little bit under pressure out there. I was curious if you're seeing any classification that have been a little tougher and what you've done to address them. And then I'm just curious if you could comment at all on -- about the online business and any thought you've given to it.
Michael Balmuth: The women's business have been more difficult around the horn and it's been a little more difficult for us for a while. We're actually running our inventories there very tightly. I wouldn't say there's any 1 specific category that we've adjusted significant down there.
Michael B. O'Sullivan: And Marni, on the online business, yes, certainly, in terms of marketing online, that's something that we're interested in, we're experimenting with. We think there's a future there. In terms of e-commerce, that scenario there obviously has of a lot of activity and it's something we're watching. No plans do anything at this point, but we're going to watch it closely.
Operator: Your next question comes from the line of Evren Kopelman with Wells Fargo.
Evren Dogan Kopelman - Wells Fargo Securities, LLC, Research Division: I wanted to ask about the packaways. It's been coming down slowly as a percent of total inventory. I guess, should we read that as -- are you seeing less? Are the merchants seeing less appropriate inventory to buy out there for packaway? How should we think about that as we go over the next year?
Michael Balmuth: I don't think we've been seeing less, but since our trend has been exceeding sales plan, we've been slowing some of the products to our stores which was -- which would have of brought the number down.
Evren Dogan Kopelman - Wells Fargo Securities, LLC, Research Division: And as we go into next year, should we expect that to continue to come down or is there a strategy at all around that?
Michael Balmuth: Our strategy is really built on supply and so if the supply exceeds our expectation, we'll be investing heavilier, okay? But we have to wait and see those buys start coming up -- the significant packaway buys coming out of fall season really happens in December, January.
Operator: Your next question comes from the line of Roxanne Meyer from UBS.
Roxanne Meyer - UBS Investment Bank, Research Division: Two questions. One, I was wondering if you could share your base assumption for merchandise margin in the fourth quarter in light of on 1 hand, having leaner inventory, but on the other hand, your comments regarding the pricing environment being a bit more competitive. And then secondly, following your announcement to split your stock, I'm just wondering if that changes your strategy for cash deployment going forward as it relates to repurchasing.
John G. Call: So relative to the base assumptions for fourth quarter margin, we don't split that up between G&A and margin. I think we did give some color around what some of the dynamics might be in terms of the puts and the takes. And as far as the stock split, it does not change our head set around capital deployment. We will still continue to buy back stock as mentioned in the prepared comments. We plan to complete half of the $900 million authorizations this year.
Operator: Your next question comes from the line of Richard Jaffe from Stifel, Nicolaus.
Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division: Richard Jaffe here. Just a question on sort of...
John G. Call: Hey, Richard, we can't hear you.
Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division: Sorry, a follow on with packaway. Just wondering how things are looking out. I know we suffered from product cost inflation beginning this time last year and it seems to have retraced a bit. I'm wondering how you're seeing product costs looking into spring 2012 and how that might impact your views on packaway?
Michael Balmuth: Looking at pricing right now being relatively stable that spring started to be, some of the jumps -- so it's relatively stable. The second part was how does it affect our packaway?
Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division: Right.
Michael Balmuth: Look, packaway, we measure by business, by brand at a moment in time so -- and we value the product -- the pricing that's offered to us, versus what we think the retail will be in mainstream stores. So I think we measure each case individually.
Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division: Okay. It's not tied to what might be product cost inflation or deflation? It's really category driven?
Michael Balmuth: No, no, no. We don't ignore that but it's category driven, branded driven and item driven, okay? That's what drives our investment exactly.
Operator: Your next question comes from the line of Dana Telsey with Telsey Advisory Group.
Dana Lauren Telsey - Telsey Advisory Group LLC: Can you talk a little bit about when you think about the 48% packaway level, where do you see it trending to, going forward? How do you see that happening? And then also on shrink, given the improved shrink that you've had, is there more to go? And what would the impact on gross margin be?
Michael Balmuth: I don't see -- I can't foresee packaway going higher than the levels we've been running. I'm actually hopeful that we can maintain those levels but on quality products. But we just don't know how the world will move forward on it. So as I said, I don't -- I wouldn't anticipate it becoming higher.
John G. Call: And on shrink, Dana, for the past couple of years, we've had pretty outstanding shrink results. We're getting to a level of record lows and to assume that we can continue that performance, I think, would not be prudent. So from a projection standpoint, we assumed similar levels to what we had this year. As I mentioned earlier, that means that we'll be picking up 10 to 15 basis points going forward on a quarterly basis.
Michael Balmuth: I just want to add to that, Dana, we'll continue to invest in various shrink initiatives, and obviously we hope to do better than what we approved, and that's the only thing I wanted to say and we continue to work against it.
Operator: Your next question comes from the line of Omar Saad from ISI Group.
Omar Saad - ISI Group Inc., Research Division: I wondered if you guys could give us an update on how you view your customer and how you think they're feeling about the market, the macro, the environment. Are you seeing anything in your stores or in the trends within the store that give you any indication on how that customer is doing?
Michael B. O'Sullivan: Probably -- this is probably to stating the obvious, Omar, but at least what we hear from the customer both in research and in the stores and in the business we're doing is because the customer need value. And they're stretched economically. They're concerned about the future and they want to make their money go further. And what we see in terms of our sales is that the value we're able to offer is obviously resonating with the customer in this environment.
Omar Saad - ISI Group Inc., Research Division: Could you also talk about -- you guys have been doing obviously really well for quite some time and you've also seemed to have little bit of a rejuvenation in the department store business last year. How do you think about that? And does your customer cross shop? And is it really a directly competitive kind of department stores versus Ross and -- or does it provide kind of a better halo and a stronger current from which you can operate? How do you think about that dynamic between you and the department stores?
Michael B. O'Sullivan: Yes. Omar, we don't take our customers for granted. They shop everywhere. They're looking for the best deal. They've got a lot of choices in terms of places they shop. So we're in competition with everyone that sells to the people we value. And our job is to make sure that we offer a better value than the other channels.
Operator: [Operator Instructions] And your next question comes from the line of Steve Tabb from Tocqueville Asset Management.
Stephen Tabb - Tocqueville Asset Management LP: I was wondering why justified buying back stock when the book value is already 1/7 of approximately of the common price. It seems like it's pretty expensive at that time and the company should be able to find other uses for the money.
John G. Call: Yes, Steve, the model generates a pretty good cash flow, of excess cash. We think it best to return it to the shareholders. We do that with a combination of buyback and dividends. So that's our perspective. We've been doing that for quite some time and it's actually worked pretty well for us.
Stephen Tabb - Tocqueville Asset Management LP: One other question. There has been a tax benefit. I don't know whether the company is able to realize it with its expansion and furnishing their stores, on accelerated depreciation on certain fixed assets. Is the company benefiting from that to any degree?
John G. Call: Yes, we are, from a cash flow standpoint. The bonus depreciation does help us.
Stephen Tabb - Tocqueville Asset Management LP: To what extent does it -- I see. It doesn't affect your book earnings per share. It's just your tax situation, is that it?
John G. Call: That's correct. It's a timing issue from a tax perspective.
Operator: Your next question comes from the line of Patrick McKeever with MKM Partners.
Patrick McKeever - MKM Partners LLC, Research Division: Just wondering if you might talk a bit about your shoe business. And -- I mean, you called it out as a strong area recently and I guess for a while now, but what's driving it? And maybe you could talk about just the -- any specific trends within Shoes that might be worth noting, wondering how your boot sales are doing this year, that sort of thing. And also, is that a category that you do tuck merchandise away in?
Michael Balmuth: Our shoe business has been strong, as you said, for quite some time and it's driven by supply, okay? It's driven by supply. We've invested organization, we've invested real estate and we've invested inventory. The combination has led to an effective shoe business, okay? Also, shoe business has been, over the last several years, trending very well across retail. So we do packaway boots, okay? And our boot business is decent, okay? And relative to trend in Shoes, if I'm looking at ladies, military looks, suede, sharper line, shoes all doing well.
Patrick McKeever - MKM Partners LLC, Research Division: Okay, got it. And then on Chicago, I mean, did you open all 12 of those stores on the same day, is that correct?
Michael Balmuth: Yes, that's correct.
Patrick McKeever - MKM Partners LLC, Research Division: So I know you've talked a bit about it already, but maybe -- I mean, just that particular strategy of opening so many stores on 1 day, what kind of -- I need to dig into that a little bit and just -- and what kinds of synergies, I guess, did you see? Was it a lot of marketing? Were there a lot of marketing synergies in there? Was it something more than that?
John G. Call: Sure. Actually, the way we -- this isn't just a Chicago thing but as we open new stores, we tend to do so in windows which helps us to focus things from an operational point of view. And to some degree from a marketing point of view, too. So the early October, it varied with the window where we opened stores and certainly, there are some marketing synergies associated with that, but other than that, operationally, this kind of approach has worked well for us as well other than distributing stores out over time.
Patrick McKeever - MKM Partners LLC, Research Division: Okay. And then 1 last quick one, just on the comments about the holiday season perhaps being more promotional. Is it -- is that a reflection of something that you're seeing right now or just a reflection of the general trend in recent years, buying closer to need, that sort of thing? Just wondering if you could talk a little bit more about that.
Michael Balmuth: I'd say it's a mix of both, okay? And I mean, I actually -- there's been a lot of -- I think retail performance has been a little bit choppy in the department store level, okay? And I'm combining mid-tier with that, okay? And that usually leads to 1 or 2 starting to get much more aggressive which creates a domino. And I'm not saying we know for sure, but it has fewer possibilities.
Operator: There appears to be no further questions at this time. I'll turn it back to management for any closing comments.
Michael Balmuth: Thank you, all, for joining us today and best wishes for the holiday season.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.